Operator: Good afternoon and welcome to the Fourth Quarter and Full-Year 2021 Earnings Discussion for PennyMac Financial Services, Inc. The slides that accompany this discussion are available on PennyMac Financials website at ire pennymacfinancial.com. Before we begin, let me remind you that our discussion contains forward-looking statements that are subject to risks identified on Slide 2 that could cause our actual results to differ materially as well as non - GAAP measures that have been reconciled to their GAAP equivalent in our earnings presentation. Now I'd like to begin by introducing David Spector, PennyMac Financials Chairman and Chief Executive Officer, who will review the company's fourth quarter and full-year 2021 results.
David Spector: Thank you Isaac. PennyMac Financial, again, delivered strong performance in the fourth quarter, demonstrating the earnings power of our balanced business model with pretax income from our servicing business exceeding that from our production business. Net income was $173 million or diluted earnings per share of $2.79, representing an annualized return on equity of 20%. Book value per share grew 4% from September 30th to $60.11 at December 31st. We continued to repurchase shares and this quarter, we repurchased 3.9 million shares of PFSI's common stock for an approximate cost of $257 million. And in January, we repurchased an additional 848,000 shares for an approximate cost of $56 million. PFSI Board of Directors also declared a fourth quarter cash dividend of $0.20 per share. Dan karate, PFSI, Senior Managing Director and Chief Financial Officer, will review additional details of our financial performance later on in this discussion. In total, loan acquisition origination volumes were $47 billion dollars in the 4th quarter. These production volumes again, led to Servicing Portfolio growth despite continued elevated prepayment activity. PennyMac Financial Servicing Portfolio totaled $510 billion in unpaid principal balance at December 31st. Up 3% from the end of the prior quarter, and 19% from December 31st 2020. In PFSI's investment management segment, net assets under management were $2.4 billion at year-end, down from the prior quarter due to PMT's net loss in the fourth quarter. 2021 was another record year operationally for PFSI. Total production, including acquisitions made by PMT, were $234 billion in UPB, up 19% from 2020. Importantly, in our most profitable channel, Consumer Direct, originations totaled $43 billion, a meaningful increase from $23 billion in 2020. These production volumes led to servicing portfolio growth of 19%, despite elevated prepayment activity throughout the year. And as I said earlier, we ended 2021 with a servicing portfolio of more than $0.5 trillion in UPB with more than 2.1 million customers. Although our financial results were down from record levels in 2020 PennyMac Financial still delivered exceptional financial performance with net income of $1 billion dollars and diluted earnings per share of $14.87, representing a return on equity of 29%. This past year was a pivotal one for PennyMac Financial. Early in the year, we became one of only a handful of independent mortgage banking companies able to raise long-term debt and in total, we raised $1.15 billion of eight and 10 year unsecured notes throughout 2021. These unsecured senior notes not only strengthen our balance sheet but position us well for the planned growth of the company in the years ahead. We have substantially invested in transformational technology initiatives throughout our history and 2021 was no different with an additional $100 million of related investments. As we enter 2022, we will begin deploying new technologies to our direct lending channels, which enhance consumer and client self-service capabilities and improve overall process efficiency. We will continue to deploy additional technologies throughout 2022 and beyond as we look to enhance the overall mortgage life-cycle experience with our borrowers and partners. Another important use of capital has been our share repurchase program. In 2021, we repurchased more than 15 million shares of PFSI common stock for a total of $958 million or more than 20% of the shares outstanding at the beginning of the year. In fact, combined with PFSI's common share cash dividends, we returned over $1 billion of capital to shareholders throughout the year. The origination market is projected to decline substantially in 2022. Inside Mortgage Finance estimates that 2021 origination market was $4.8 trillion, in current Forecast for 2022 totaled $3.1 trillion. A reduction of 35% year-over-year. However, purchase originations are expected to remain strong at $2 trillion. We believe the decline in overall originations will continue to drive significant competition and pressure on gain on sale margins until the current excess industry capacity is reduced. We believe PennyMac Financial diversification, size and scale position us well to succeed. Our large and growing servicing Portfolio will become an increasingly important component of our Earnings as interest rates increase as prepayments return to more normalized levels. You can see evidence of the benefits of our balanced business model in our fourth-quarter results, as our servicing segment generated earnings higher than those from production. We believe this balance provides a competitive advantage relative to other mortgage banks, as the industry's origination volumes decline. Additionally, SSC, our proprietary servicing system, provides costs and operational efficiency. Our deep and talented management team has a strong track record of successfully navigating different mortgage cycles, and has always maintained a focus on disciplined growth and expense management. Given the current environment, we remain committed to these principles. That said, the continued expansion of our direct lending business is expected to enhance the profitability of our production segment over time. In 2021, we meaningfully increased our market position in Consumer Direct, and more than 80% of our production pretax income came from this channel, compared to under 50% just two years ago. Additionally, we believe we are still in the early stages of our development, with new technology rollouts in our direct lending channels expected throughout the year. These enhancements will provide meaningful benefits to the brokers and customers we work with every day, as well as our fulfillment staff and loan officers. By furthering their self-service capabilities, our customers and brokers can fill out an application to their convenience, with a dedicated PennyMac available via phone, online, etc. Over time, we expect these new tools will drive higher conversion and portfolio retention rates along with faster closing times and lower -- low manufacturing costs. In January, we launched a new evolution of our brand that I'm very excited about with a vision to become the most trusted and respected partner in the industry. This new brand brings a cohesive field to all of our business lines and reflects our commitment to the countable, reliable, and ethical core values that have been foundational to our success. Throughout our history, we have managed the growth of the company in a disciplined fashion and with business lines across all channels of residential mortgage we're uniquely positioned to represent trust, stability, and long-term partnership. So while I'm tremendously excited about our new brand and some of you may see some PennyMac TV commercials, content via social platforms, or other forms of communication, our targeted approach will remain a continued and ongoing focus. Now, I'll turn it over to Doug Jones, President and Chief Mortgage Banking Officer, who will discuss our Mortgage Banking businesses.
Doug Jones: Thanks, David. As you can see on Slide 8 of our presentation, PennyMac maintained its leadership position in the correspondent channel and we estimate that throughout this year, we represent an approximately 16.8% of the overall channel. In the fourth quarter, total correspondent loan acquisition volume was $33 billion down 25% from the prior quarter and 42% from the fourth quarter of 2020. 52% of the acquisitions were conventional loans and 48% were government loans compared to 65% and 35% respectively in the third quarter. Government loan acquisitions in the quarter totaled $15.7 billion up 2% from the prior quarter and down 17% from the fourth quarter of 2020.Conventional correspondent acquisitions for which PFSI earns a fulfillment fee from PMT, totaled $17.2 billion, down 40% from the prior quarter, and 55% from the fourth quarter of 2020, as a result of significant levels of competition for conventional loans, including from the GSEs. Government correspondent locks were $15.5 billion down 4% from the prior quarter and 21% from the fourth quarter of 2020. Revenue per fallout adjusted government lock in the fourth quarter was 24 basis points down from 27 basis points in the prior quarter. At the scale we have achieved in our correspondent business combined with our low cost structure and operational excellence in the channel allow us to operate profitably through volatile market environments. In January, our correspondent acquisitions were $7.6 billion in UPB and locks were $7.5 billion. As David mentioned, we estimated that our market shares and Consumer Direct has increased meaningfully from the last year and we accounted for approximately 1.4% of total originations in the channel through 2021. Origination volumes in the channel for the fourth quarter were $10.6 billion, down 5% from the prior quarter and up 32% from the fourth quarter of 2020. Interest rate lock commitments were $14.2 billion, down 13% from the prior quarter and up 11% from the fourth quarter of 2020. The ongoing success we seen the channel can be attributed to the increased application of data analytics and investment we have made in our loan fulfillment and sales process. Additionally, I remain excited for the future growth prospects of this channel, as we leverage new technology and increased brand awareness. We also continue to see success in our purchase and new customer acquisition channels despite the smaller origination market. Purchase lock volume in the fourth quarter was $784 million, essentially unchanged from the prior quarter and the new customer acquisition lock volume was $1.9 billion down slightly from last quarter. Margins remain attractive with revenue per fallout-adjusted lock of 336 basis points still above what we believe are normalized levels. In January, originations for our Consumer Direct Market totaled $3.2 billion and locks totaled $3.7 billion. The committed pipeline at January 31st was $4.6 billion. Lastly, originations in our broker direct channel totaled $3.7 billion, down 8% from the prior quarter. Lock volume totaled $3.9 billion down 21% from the prior quarter. Pricing margin that's in the channel continue to reflect competition between channel leaders and the revenue fallout-adjusted block was 68 basis points down from 77 basis points in the prior quarter. We estimate that in 2021 we represented approximately 2.3% of the market share in the channel, with over 2100 brokers approved to offer our products or approximately 15% of the total population of brokers. Despite elevated levels of competition currently, we continue to see opportunity in the channel over the long term and remain committed to providing our broker partners and the customers they serve new products and a superior mortgage experience. Broker origination channels in January totaled $0.8 billion and total locks were $1.2 billion, and our committed pipeline at January 31 was $1.3 billion. In total, these acquisition and origination volumes continue to drive the organic growth of our servicing portfolio despite elevated prepayment activity. As you can see on Slide 12, approximately $33 million of portfolio run-off in the fourth quarter was more than offset with the addition of $47 billion in total production. And we ended the quarter with a servicing portfolio of $510 billion or approximately 4.1% of all residential mortgage debt in the U.S. Payment financials owned portfolio reported a prepayment speed of 23.5% in the fourth quarter, down from 27.2% in the prior quarter. The prepayment speeds of PennyMac Financial's subservice portfolio, which includes mostly Fannie Mae and Freddie Mac mortgage servicing rights owned by PMT, was 19.8% down from 23.6% in the prior quarter. PFSI's own servicing portfolio, which consists primarily of Ginny Mae MSRs, had a 60-day plus delinquency rate of 4.7% down from 6.1% at the end of the prior quarter. While our sub-service Portfolio consisting primarily of conventional loans reported a 60-day delinquency rate up 0.9% down from 1.2% at September 30th, as borrowers continue to emerge from forbearance plans. The UPB of completed modifications was $6.2 billion, up from $4.7 billion in the prior quarter driven by forbearance exits from early buy out loans previously sold to third-parties. The UPB of EBO loan volume totaled $3.7 billion down from $5.5 billion in the prior quarter as a result of smaller population of loans eligible to be bought out. I will now turn it over to Dan, who will speak to the financial results for the quarter.
Dan Perotti: Thanks, Doug. As David mentioned earlier, PFSI's net income was $173.1 million or diluted earnings per share of $2.79. I will cover each segment's results and then briefly review our forbearance and servicing advance trends. Production segment pretax income was $106.5 million, down 68% from the prior quarter and 81% from the 4th quarter of 2020, primarily due to lower volumes and margins resulting from a transitioning mortgage market and a return to more seasonal trends. As you'll see on Slide 10, we provide a breakdown of the revenue contribution from each of PFSI's loan production channels, net of loan origination expenses, including fulfillment fees received from PMT for conventional correspondent loans. The direct lending channels have an outsized impact on PFSI's production earnings as David mentioned earlier. As you can see, consumer and broker direct represented 31% of fallout-adjusted lock volume in the fourth quarter, but accounted for approximately 90% of segment pretax income. Production revenue margins and consumer direct remained attractive, but decreased from the prior quarter, while broker direct margins remained below normalized levels. Government correspondent margins were down slightly. Revenue per fallout-adjusted lock for PFSI's own account was 113 basis points in the fourth quarter, down from 165 basis points in the prior quarter. This includes $75.6 million in losses realized related to the timing of revenue and loan origination expense recognition, hedging, pricing and execution changes, and other items. Our costs vary by channel, ranging from approximately 10 basis points in Correspondent to a 140 basis points in Consumer Direct. And as our production mix continues to shift toward direct lending, production expenses as a percentage of fallout adjusted locks are expected to trend higher. The Servicing segment recorded pre -tax income of a $126.1 million, up from pretax income of $8 million in the prior quarter and $42 million in the fourth quarter of 2020. Pretax income excluding valuation-related items for the servicing segment was $217.9 million, up 47% from the prior quarter. The increase from the prior quarter was primarily driven by increased income from loss mitigation activity and higher servicing fees. Operating revenue increased $24.6 million from the prior quarter, driven by an increase in loan servicing fees from a larger servicing portfolio while operating expenses as a percentage of average servicing portfolio, UPB, decreased. Payoff related expenses which include interest shortfall and recording and release fees related to prepayments remained elevated but decreased by $3.4 million from the prior quarter. Realization of MSR cash flows increased $14.8 million as delinquent loans continued to rehabilitate and provide greater ongoing income to the MSR portfolio. In order to protect the value of our MSR asset, we utilized a comprehensive hedging strategy. This strategy is designed to moderate the impact of interest rate changes on the fair value of our MSR asset, and also considers production related income. On Slide 14, you can see the fair value of our MSR decreased by $58 million in the fourth quarter, including $28 million in fair value declines due to changes in interest rates, primarily due to a significant flattening of the yield curve. And $30 million in other valuation declines. These valuation declines were primarily driven by increases to short-term prepayment projections. Hedging losses totaled $38 million, primarily driven by elevated hedge costs during the quarter. Our investment management segment delivered pretax income of $1.5 million dollars up from $1 million dollars in the prior quarter. Net assets under management totaled $2.4 billion dollars as of December 31st, down 5% from September 30th and up 3% from December 31st 2020. Segment revenue was $10.5 million up 7% from the prior quarter and 8% from the fourth quarter of 2020. Lastly, I would like to touch on the trends we're seeing related to forbearance and loss mitigation. While overall mortgage delinquency rates have returned to their pre -pandemic levels, it is important to note delinquency rates of seriously delinquent loans remain elevated. The percentage of loans in forbearance decreased to 1.5% at December 31 from 3.2% at September 30 as borrowers in forbearance plans at September 30 who have since exited, more than offset new forbearance plans. Servicing advances outstanding increased to approximately $564 million at December 31st from $430 million at September 30. Advances increased from September 30 as expected since many property tax payments became due towards the end of the calendar year. No P&I advance are outstanding as prepayment activity continue to sufficiently cover remittance applications. And with that, I would like to turn it back to David for some closing remarks.
David Spector: Thank you, Dan. 2022 brings us a transitioning mortgage market that presents headwinds for PFSI's performance. Our newly evolved brand and marketing focus, along with deployment of transformational technologies in our direct link channels, are key components of multiyear investments to achieve our medium-term goals. At the same time, as the market is transitioning to a higher rate environment with elevated levels of competition, we will remain disciplined, taking advantage of our operational scale, while staying focused on profitability and shareholder returns. We encourage investors with any questions to reach out to our investor relations team by email or phone. Thank you.
Operator: This concludes PennyMac Financial Services, Inc.’s fourth quarter earnings discussion. For any questions, please visit our website at ir.pennymacfinancial.com or call our Investor Relations department at (818) 264-4907. Thank you.